Operator: Ladies and gentlemen, thank you for standing by. My name is Christa, and I will be your conference operator today. At this time, I would like to welcome you to The Hain Celestial Group First Quarter 2026 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Alexis Tessier, Head of Investor Relations. Alexis, you may begin.
Alexis Tessier: Good morning, and thank you for joining us for a review of our fiscal first quarter 2026 results. I am joined this morning by Alison Lewis, our Interim President and Chief Executive Officer; and Lee Boyce, our Chief Financial Officer. Slide 2 shows our forward-looking statements disclaimer. As you are aware, during the course of this call, we may make forward-looking statements within the meaning of federal securities laws. These include expectations and assumptions regarding the company's future operations and financial performance. These statements are based on our current expectations and involve risks and uncertainties that could cause actual results to differ materially from our expectations. Please refer to our annual report on Form 10-K, quarterly reports on Form 10-Q and other reports filed from time to time with the SEC as well as the press release issued this morning for a detailed discussion of the risks. We have also prepared a presentation inclusive of additional supplemental financial information, which is posted on our website at hain.com under the Investors heading. As we discuss our results today, unless noted as reported, our remarks will focus on non-GAAP or adjusted financial measures. Reconciliations of non-GAAP financial measures to GAAP results are available in the earnings release and the slide presentation accompanying the call. This call is being webcast, and an archive will be made available on the website. And now, I'd like to turn the call over to Alison.
Alison Lewis: Good morning, everyone, and thank you for joining today's call. I will start by providing commentary on Q1 results and will then discuss the progress we are making on our turnaround journey. Then Lee will provide a more detailed review of our quarterly results along with our outlook. First quarter results were in line with our expectations on the top and bottom line, and we have building blocks in place to drive improved trends in the back half. In the quarter, we demonstrated sequential improvement in organic net sales trends in both of our segments. In North America, Beverages, Baby and Kids and Meal Prep all turned to growth, partially offsetting the continued year-over-year decline in Snacks. The Snacks relaunch entered its execution phase in the quarter, which included the first launch of our revamped Garden Veggie platform with upgrades to oil ingredients and taste profiles, which I'll discuss more in a minute. And in International, growth in the Meal Prep category partially offset the impact from continued industry-wide softness in wet baby food following recent media coverage, which created temporary noise across the category. Ella's Kitchen remains the #1 baby food brand in the U.K. market, reinforcing the importance of our continued leadership in transparency, trust and nutritional quality through accelerated marketing and innovation. Throughout the quarter, we made tangible progress laying the operational and financial foundations necessary to drive improved performance. Our near-term priorities remain clear: stabilizing sales, improving profitability, optimizing cash and deleveraging our balance sheet. Cost discipline and the decisive actions we have taken to streamline our cost structure drove a reduction in SG&A in the quarter, and we are seeing early results from the execution against our '5 actions to win', including benefits from pricing initiatives beginning to build. As we discussed last quarter, we are committed to improving our financial flexibility through resetting our cost structure to better align with our current business. We have unwound much of our global infrastructure and have implemented an operating model designed to empower the regions and prioritize speed, simplicity and impact across the organization. We are already beginning to see results with an improvement in forecast accuracy, a reduction in inventory in North America and an acceleration in the innovation pipeline across the business. The changes to work design have been actioned and should benefit SG&A going forward, particularly in the back half. As previously mentioned, we expect these cost initiatives to drive over 12% cost reduction in people-related SG&A expenses. We expect to have additional opportunities to refine the operating model based on the outcome of the previously announced strategic review work. Further, every dollar spend across the P&L is being scrutinized to eliminate waste and ensure greater return on investments. In the quarter, we drove improvement in rate and trade by eliminating poor ROI events and inefficient spend, and we continue to see positive return on ad spend as we shift to a digital-first marketing model. Our turnaround strategy is focused on five key actions to win in the marketplace: streamlining our portfolio; accelerating brand renovation and innovation; implementing strategic revenue growth management and pricing; driving productivity and working capital efficiency; and strengthening our digital capabilities. Complexity has hampered our ability to move with speed and efficiency. We remain committed to building a winning simpler portfolio by exiting unprofitable or low-margin tail SKUs, refocusing resources on brands and categories with the highest growth and margin potential and managing product life cycles for improved long-term value. During the quarter, we executed the previously announced exit of the meat-free category in North America. Looking ahead, we are targeting the elimination of approximately 30% of our SKUs in North America through fiscal 2027, representing low value in our portfolio and enabling us to improve supply chain efficiency and shelf productivity. This includes the SKU reduction in tea we discussed last quarter. We have implemented a disciplined portfolio management review process designed to continuously assess, add or retire SKUs, maintaining an optimized winning portfolio and eliminating reliance on large episodic rationalization efforts. These actions enable us to sharpen our focus and resources to accelerate growth in our highest potential brands and categories. This year, we have accelerated our innovation pipeline and have new products launching in every category in our portfolio. Let me give you several examples. We recently relaunched Garden Veggie Snacks with the boldest renovation in its history, elevating attributes of high importance to consumers. Our new straws and puffs are made with avocado oil. We introduced a fourth straw made from sweet potato, which was the most requested new vegetable. And our cheddar recipes are now crafted with real cheese. In consumer testing, our new Garden Veggie Straws were significantly preferred compared to a leading competitor. We debuted the new items in breakthrough new packaging in late September at a key national retail partner and will expand to additional national retailers this winter and into the new year. In Greek Gods, momentum is accelerating and the brand pivoted to share growth in the quarter. Contributing to the acceleration was expanded regional availability of a larger 48-ounce format in a key club partner in the quarter. More recently, we started shipping our new single-serve offering to a key retailer and are supporting the launch with expanded digital advertising. Single-serve represents nearly 30% of the category, so the potential opportunity is large. In Earth's Best, we are continuing to build upon our strength in Snacks with the launch of the big kids snacks platform in the second half. We are expanding into new backpack territory with snacks designed to bridge the gap between toddlerhood and big kid independents. With organic power bites, organic veggie waves, organic crispy sticks, we deliver protein and fiber for high-density nutrition while balancing portability, taste and fun. In formula, we will be sponsoring a leading retailer's baby registry, the #1 registry destination in the second quarter, and we are leaning into the brand's commitment to quality. Earth's Best recently received the discerning Clean Label Project Purity Award across its full line, underscoring trust with parents and caregivers. Additionally, the brand was highlighted by Consumer Reports in August as one of the most transparent baby food brands. These accolades are important claims for our marketing to parents and caregivers. In International, Hartley's Juicy Jelly on-the-go pouches launched in the first quarter with strong retailer support helping to drive share growth in the first full 4 weeks of launch. In addition, we launched new Covent Garden 1-kilogram value pack designed to recruit larger families and rolled out flavor refreshes across the soup brands. We've extended our successful soup and the Rosseto innovation into more retailers, delivering sales growth over 25% for Cully & Sully along with share gains. Innovation planned for the back half in International include Ella's Kitchen Nutty Blends, a range of three fruit and vegetable blends with a touch of nuts, perfect to stretch taste or provide a more filling snack for 6 months and up. In addition, we're launching Ella's Kitchen Kids aimed at older kids from 18 months up. The range extends the brand into new occasions with strong nutritional standards for better-for-you alternatives. A 10-SKU range of Oaty Bars, Wild Crackers and Crispy Sticks will hit the shelves in the back half of the year. We also have two exciting nondairy beverage launches for Joya Protein. We are upgrading our existing protein range to include even more protein per serving, and we are launching ready-to-drink protein in two delicious flavors. With accelerated pipelines and launches, innovation will be a much larger part of our story going forward. We will support these launches with marketing funded by margin improvements from our revenue growth management and productivity cost savings initiatives. We are encouraged that we have one of the strongest innovation pipelines in our recent history as we aim to significantly increase our contribution from innovation to growth. As discussed, this year, we have pricing actions planned across every category in our portfolio, following a long period where our pricing did not keep pace with inflation, particularly in North America. Our International price increases implemented in late Q4 are overall delivering on plan. While there are some puts and takes by subcategory and SKU, elasticities are generally in line with expectations. In North America, as noted in our last earnings call, we are actively accelerating pricing and revenue growth management as critical levers to cover inflation, a meaningful shift from prior years. We are beginning to see the benefits contributing to Tea and Baby and Kids turning to growth in the quarter. While we executed our Tea and Baby and Kids pricing in Q1, we have accelerated revenue growth management activities for Meal Prep and Snacks through a combination of pricing, price pack architecture and premiumization. We expect the benefit from pricing to ramp up throughout the fiscal year. Further, we are making headway in optimizing trade spending. In the quarter, we reduced trade spend as a percentage of gross revenue by 40 basis points year-over-year. We expect to deliver improvement in our trade for the rest of the year as we actively analyze gross to net opportunities to maximize the efficiency and effectiveness of our trade investments. Generating operational productivity and improving working capital management have been bright spots for Hain. Last year, we delivered operational productivity savings of approximately $67 million. We have a strong productivity pipeline and are targeting more than $60 million in fiscal 2026. In addition to that operational productivity, we expect to realize substantial future cost savings from our realignment of our overhead structure that we began to implement during the quarter. From a working capital perspective, we have been deliberate in our focus on inventory reduction for the fiscal year, resetting weeks of coverage for both raw and pack and finished goods. In North America, we reduced net inventory by nearly 10% from Q4 as a result of our improved internal forecast accuracy. Further, we continue to make progress on extending terms with strategic suppliers. As I mentioned earlier, our shift to a digital-first marketing model is delivering positive return on advertising spend overall. We are engaging in new digital partnerships to drive community relationships and household penetration. New this quarter are programs like Earth's Besties, a digital CRM community marketing program, leveraging best practices from the successful Ella's Kitchen program and providing advice, support and resources to parents. And we are piloting an Ibotta partnership, utilizing performance marketing and incentives with promising early results in driving new users and incremental sales across key snack brands and soon in formula. We are heightening our e-commerce focus and continue to expect sales growth at or above category rates in fiscal 2026. In the International segment, we are growing Hartley's Jelly Pot and Sun-Pat with overall performance and momentum accelerating in September behind back-to-school execution. And in North America, tea and yogurt are growing double digits at key online retailers. We are encouraged by the early progress we are making. We have taken decisive action to strengthen our financial health, streamline operations and energize our brands, balancing near-term financial flexibility with future growth. We are focused on consistent delivery and building momentum. Our near-term priorities remain clear: stabilizing sales, improving profitability, optimizing cash and deleveraging the balance sheet. We will achieve this by creating greater financial flexibility, enabling us to invest in our brands and by executing our turnaround strategy anchored in the '5 actions to win' in the marketplace. In parallel, we continue to make good progress on our previously announced strategic review work with Goldman Sachs. We have completed our analysis and evaluation of the portfolio. We have a large number of brands with strong value where we have a right to win, and we have other areas that we are actively addressing that could further streamline our portfolio. We look forward to updating you when we are in a position to provide further detail. Now I'll hand the call over to Lee to discuss our first quarter financial results and outlook in more detail.
Lee Boyce: Thank you, Alison, and good morning, everyone. As Alison mentioned earlier, our first quarter net sales of $368 million and adjusted EBITDA of $20 million were consistent with our expectations of a quarter that would be similar in absolute dollars to Q4 2025, as discussed on our last earnings call. For the first quarter, we saw an organic net sales decline of 6% year-over-year, driven by lower sales in both the North America and International segments. While not yet where we want to be, results were in line with our expectations and represented a sequential improvement from the 11% decline in Q4. The decline in organic net sales growth reflects a 7-point decrease in volume mix and a 1-point increase in price. Adjusted gross margin was 19.5% in the first quarter, a decrease of approximately 120 basis points year-over-year. The decrease was driven by lower volume mix and cost inflation, partially offset by productivity and pricing and trade efficiencies. SG&A decreased 8% year-over-year to $66 million in the first quarter, driven by a reduction in employee-related and nonpeople cost discipline as we began to implement overhead reduction actions. SG&A represented 17.8% of net sales for the quarter as compared to 18.1% in the year ago period. During the quarter, we took charges totaling $14 million associated with actions under the restructuring program, including employee-related costs, contract termination costs, asset write-downs and other transformation-related expenses. To date, we have taken $103 million in charges associated with the transformation program, which is comprised of $100 million of restructuring charges and $3 million of expenses associated with inventory write-downs. Of these charges, $35 million were noncash. Restructuring charges, excluding inventory write-downs, are expected to be $100 million to $110 million by fiscal 2027. These charges are excluded from adjusted operating results. Interest expense rose 13% year-over-year to $15 million in the quarter, primarily due to higher financing fees related to the amendment of our credit agreement. We have hedged our rate exposure on more than 50% of our loan facility with fixed rates at 7.1%. We continue to prioritize reducing net debt over time. Adjusted net loss, which excludes the effect of restructuring charges amongst other items, was $7 million in the quarter or $0.08 per diluted share as compared to adjusted net loss of $4 million or $0.04 per diluted share in the prior year period. We delivered adjusted EBITDA of $20 million in the first quarter compared to $22 million a year ago. The decline was driven by a decline in volume mix and cost inflation, partially offset by productivity, a reduction in SG&A and pricing and trade efficiencies. Adjusted EBITDA margin was 5.4%. Turning now to our individual reporting segments. In North America, organic net sales declined 7% year-over-year. The decrease was primarily driven by lower volume in Snacks, partially offset by growth in Beverages, Baby and Kids, and Meal Prep. First quarter adjusted gross margin in North America was 22.7%, a 200 basis point increase versus the prior year period. This improvement was driven primarily by productivity savings and pricing and trade efficiencies, partially offset by lower volume mix and cost inflation. Adjusted EBITDA in North America was $17 million, an increase of 37% from the year ago period. The increase resulted primarily from productivity savings, a reduction in SG&A expenses and pricing and trade efficiencies, partially offset by the impact of lower volume mix and cost inflation. Adjusted EBITDA margin was 8.3%. In our International business, organic net sales declined 4% in the quarter, primarily driven by lower sales in Baby and Kids, partially offset by growth in Meal Prep. International adjusted gross margin was 15.7%, approximately 530 basis points below the prior year period. And adjusted EBITDA was $13 million or 7.7% of net sales, reflecting a decrease of 38% compared to the prior year period. These decreases were primarily driven by lower volume mix and cost inflation, partially offset by productivity savings and pricing and trade efficiencies. We expect our margin in International to improve, particularly in the second half behind three key drivers: one, improved performance of our higher-margin Ella's business with accelerated marketing and innovation to drive improvement in the category behind our trusted, high-quality and nutritious products; two, operational efficiency initiatives in our manufacturing network; and three, the full realization of benefits from our focus on revenue growth management. Now turning to category performance. Organic net sales growth in Snacks was down 17% year-over-year, driven by velocity challenges and distribution losses in North America. As Alison mentioned, we have entered the execution phase of our Snacks turnaround plan with the relaunch of Garden Veggie, which will be rolling out to additional retailers throughout the fiscal year. Additionally, our price pack architecture work on Garden Veggie multipacks is driving early velocity improvements at key retailers. And we've seen strong performance from our Garden Veggie seasonal offering, particularly Ghost and Bats. Lastly, Garden Veggie is seeing encouraging momentum in the convenience channel, where sales are up 24% as distribution expands. In Baby and Kids, organic net sales growth was down 10% year-over-year, driven primarily by industry-wide softness in purees in the U.K. that Alison mentioned. In North America, we have continued to see strength in Earth's Best snacks and cereal with dollar sales growth of high single-digit and low double-digit percent, respectively. In the Beverages category, organic net sales growth was 2% year-over-year, driven by Tea in North America. Celestial Seasonings bag tea gained distribution in the quarter, in part due to the recent launch of wellness innovation. In Meal Prep, organic net sales growth was flat year-over-year as strength in yogurt in North America was offset by softness in meat-free products in the U.K. and soup in North America. Greek Gods grew dollar sales in the quarter by mid-teens percent. Shifting to cash flow and the balance sheet. Free cash flow for the quarter was an outflow of $14 million compared to an outflow of $17 million in the year ago period. The improvement was primarily driven by improved inventory delivery, partially offset by lower recovery of accounts receivable and a decline in cash earnings. We continue to be pleased with the progress we have made improving our days payable outstanding. Days payable outstanding was 57 days in the quarter, down from 65 days in Q4 2025, but an improvement from 55 days in the year ago period. We have made significant progress towards our goal of 70-plus days payable outstanding by fiscal year 2027. Inventory is an opportunity for improvement and an area of focus for fiscal 2026. Days inventory outstanding improved to 83 days in the quarter from 88 days in Q4 2025, though it is up from 80 days in the year ago period. CapEx of $5 million in the quarter was down from $6 million in the prior year period. We continue to expect capital expenditures to be approximately $30 million for fiscal 2026. Finally, we closed the quarter with cash on hand of $48 million and net debt of $668 million as compared to $650 million in the beginning of the fiscal year. The increase in net debt was driven by seasonal funding of working capital and capital expenditures. Paying down debt and strategically investing in the business continue to be our priorities for cash. Our net leverage ratio as calculated under our credit agreement, increased slightly to 4.8x, comfortably below the 5.5x maximum. Our long-term goal is to reduce balance sheet leverage to 3x adjusted EBITDA or less as calculated under our credit agreement. Turning now to the outlook. As stated last quarter, we are not providing numeric guidance on fiscal 2026 operating results at this time, given the uncertainty around the outcome and timing of the completion of our strategic review other than to say we expect free cash flow to be positive. With respect to the shape of the year, we continue to expect aggressive cost cutting and execution against our '5 actions to win' in the marketplace to drive stronger top and bottom line performance in the second half of the year as compared to the first half. To put a finer point on it, I want to call out some of the dynamics that are driving the shape of the year. First, we are stepping up our marketing investment in the second quarter of 2026 compared to the first quarter of this fiscal year, and by approximately $2 million from the year ago period. This will support the accelerated innovation across the portfolio throughout the year that Alison discussed. Investment in our brands is a critical element for improved performance as we move into the second half. Second, we have an approximately $3 million headwind in the second quarter from our bonus accrual this year that was zeroed out last year. Third, the benefits from both the SG&A work we have actioned and pricing we have taken should build throughout the year. And lastly, Ella's Kitchen, one of our highest margin businesses, has been under pressure driven by industry-wide category softness. We expect our accelerated marketing efforts and innovation to drive improvement in Ella's in the second half. Now I'll turn it back to Alison for some closing remarks.
Alison Lewis: Thanks, Lee. Our first quarter results were consistent with our prior indication that Q1 performance would be broadly comparable to Q4 in absolute dollars. In North America, we delivered margin and profit growth despite top line headwinds in our largest category in the region, Snacks, which we are relaunching to restore both growth and profitability over time. Internationally, the baby food category remained soft industry-wide. However, as category leader, we have accelerated marketing and innovation to drive category momentum over the balance of the year. Across the portfolio, we are seeing encouraging contribution to revenue and margin as we take disciplined RGM and pricing actions. And we continue to execute strongly on productivity, delivering consistent savings that will build as the year progresses. In addition, we have implemented a step change in our overhead cost reduction, ensuring our organization is rightsized for the current business. We are moving with speed and determination to strengthen our financial flexibility and lay the groundwork for improved performance as we move from the first half of the fiscal year to the second half. We remain focused on executing our '5 actions to win'. Streamlining our portfolio; accelerating brand renovation and innovation; implementing strategic revenue growth management and pricing; driving productivity and working capital efficiency; and strengthening our digital capabilities. We are executing with focus and discipline, placing Hain firmly on the path towards sustainable growth. Before I close, I want to thank the entire Hain team for their commitment to our mission, our brands, our consumers and our customers and for driving meaningful progress against our five actions to win. That concludes our prepared remarks, and we are now happy to take your questions. Operator, please open the line.
Operator: [Operator Instructions] And your first question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar: I think, Lee, you laid out some discrete dynamics to keep in mind that impact EBITDA for the most part in 2Q. As you think about organic sales in 2Q, would you anticipate, just given the incremental investment and such that the year-over-year, rate of -- the year-over-year rate of decline in organic sales can continue to moderate sequentially in 2Q versus what you saw in the first quarter, even though I realize there are some discrete issues around EBITDA?
Lee Boyce: Yes. I mean I think you can see some moderation. I would say the biggest focus is on the second half versus the first half, and we kind of outlined that. But you would see, especially as you go into the second half, an improvement in areas such as in snacks, or a moderation of declines there. The other thing we kind of outlined in the call is in Baby and Kids, particularly in Ella's. So we would -- based on the programming we put in, we would expect to see an improvement in Baby and Kids, moderation in Earth's Best. And then also looking at Beverages, we would expect an improvement in tea and then private label, nondairy beverage. I'd say Meal Prep overall has been stable. So our big focus is really on the second half versus the first half. That's where you'll see that improvement.
Andrew Lazar: Okay. And then, Alison, you talked about elasticities so far with the pricing you've taken in International being, again, broadly on average, sort of in line with your expectations. I know it's still early around some of the pricing actions you're taking in North America, but where you've gotten some of the pricing in? What are you seeing around elasticity as a starting point? I think you mentioned last quarter, you would anticipate elasticities in North America being around 1% and around, I think, 0.5% in international. So I guess, what are you seeing in North America so far? And maybe how have those announced price increases gone over with respect to your key retail partners?
Alison Lewis: Yes, I mean the pricing on tea and baby flowed through in North America in the quarter. And on tea, we're pretty much flowed through with all retailers and the price points that are on the shelf are in line with what we expected. Baby has been a little bit slower to roll through only because we have multiple categories. But again, pricing that we've seen so far flow through on baby is in line with the category. You're right, it's early days on elasticity, but we are able to get an early read. On tea, we're seeing that it's generally in line with the 1% elasticity expectation that we set. I mean, obviously, you know that elasticity is a dynamic thing because it depends a lot on sort of the overall competitive dynamic, the marketing and innovation that you do, et cetera. So we'll continue to monitor, but so far in line with what we expected. On baby, it's a little harder to read right now, again, because it hasn't flowed through quite as quickly. But what we are seeing, again, early data is it looks like it is in line. We are seeing more competitive dynamics in the baby category. So again, we're going to be monitoring both closely. And as you know, you need to sort of be dynamic in the marketplace, and we'll be dynamic as we need to in order to protect what we have in terms of our expectations on the growth of those businesses.
Operator: Your next question comes from the line of Kaumil Gajrawala with Jefferies.
Kaumil Gajrawala: If we could just talk a little bit about the consumer seems to be getting increasingly challenged period to period to period. And because so many -- because the bulk of your portfolio is in health and wellness, it often can also have a price premium to maybe the non-health and wellness items. So how do you think through that calculus in today's consumer environment, especially in the context of what you just talked about related to taking additional pricing?
Alison Lewis: Yes. So I would say, overall, you're right, the consumer dynamic is one where we have more value-seeking behavior as consumer pocket books are a little tighter than usual. I think what we're seeing in the market is broadly what we've always seen when we hit these kind of speed bumps where we see a movement in terms of shopping patterns, so fewer -- more trips, less dollars per trip. We see a shift to some of the more value channels, whether that is club, mass, dollar. We see a shift in terms of the packages that they're buying, again, looking at kind of lower overall price point. But the thing that I would say about our portfolio is that it brings value to the consumer in terms of those better-for-you credentials. So the other thing that we're seeing in terms of the behavior is that when a consumer is putting a $1 down, they want to make sure that they're getting something that has value to them. And because our better-for-you brands have value to them because they taste great, they've got better nutritional profile, they're willing to stay in those brands. And so that's probably why we see sort of relatively low private label development across our categories. And then as you look at the private label where there is private label, there is some growth in private label, but it's not -- you're not seeing substantial shifts in private label. It's small increases or in some categories, actually, you're seeing decreases. So again, I think the most important thing that we can do is continue to deliver value to the consumer, value that consumers are willing to pay for and then ensure that our price pack architecture has price points across various sizing that allows for everyone to participate no matter what the disposable income level is.
Operator: [Operator Instructions] We have no further questions in our queue at this time. I will now turn the conference back over to Alison Lewis for closing comments.
Alison Lewis: So thank you for joining us today. I'll just reiterate a few things we said in our overall messages. But overall, as an organization and company, we're moving with speed and determination to strengthen our financial flexibility and lay the groundwork for improved performance as we move from the first half to the second half. We remain focused on our '5 actions to win', and we're executing with focus and discipline to put Hain firmly on the path to sustainable growth. So thank you, everyone, for joining today.
Operator: And ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.